Operator: Good morning. My name is Jennifer, and I will be your conference operator today. At this time, I would like to welcome everyone to the Second Quarter 2015 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. And I would like to turn the conference over to Lynn Liddle. Ma'am, you may begin your conference.
Lynn Liddle: Thanks, Jennifer, appreciate it. We are very happy to be here with all of you to discuss our second quarter earnings. And as is our usual practice, I have with me today, our Chief Executive Officer, Patrick Doyle; and our Chief Financial Officer, Mike Lawton. They will have some prepared comments and then we will open it up for Q&A. As usual we would ask the members of the press to be in listen-only mode, since this is primarily for investors. And I will turn all of your attention to our forward-looking statements – Safe Harbor statement in our press release in the event that any forward-looking statements are made. So with that, I would like to turn it over to Mike for some opening comments.
Mike Lawton: Thank you, Lynn, and good morning, everyone. I'm pleased to report that we once again delivered solid results for our shareholders. Our domestic and international divisions posted very strong same-store sales growth. We opened a significant number of new stores and our EPS grew 20.9% over the prior year. We are pleased with this earnings growth particularly in the face of strong foreign exchange headwinds. Global retail sales which are our total retail sales at franchising company owned stores grow wide grew 7.5%. When we exclude the adverse impact of foreign currency, global retail sales grew by 14.9%. The drivers of this growth included domestic same-store sales which rose by 12.8% in the quarter. The increase this quarter was comprised of franchisees same-store sales which were up 12.8% and company-owned stores which were up 12.5% and this was due primarily to strong order growth. We also saw some ticket growth during the quarter. We are pleased to report that we opened 14 net domestic stores in the second quarter consisting of 22 store openings and 8 closures. Over the past four quarters, we have opened 96 net domestic stores. Our international division had another strong quarter as same-store sales grew 6.7% lapping a prior year quarter increase of 7.7%. Our international division also grew by 172 stores made up of 178 store openings and 6 closures. Over the past four quarters we have added 708 stores outside the United States. Turning to revenues, total revenues were up $38.2 million or 8.5% from the prior year. This increase was primarily a result of three factors. First, higher domestic same-store sales and store count growth which resulted in increased royalties from our franchise stores and higher revenues at our company-owned stores. Second, higher supply chain center food volumes as well as increased sales of equipment to stores in connection with our store reimaging program. These supply chain volume increases were partially offset by lower commodity prices. And third, higher international royalties again from increased same-store sales and store count growth, which were partially offset by the negative impact of foreign currency exchange rates. Moving on to operating margin. As a percentage of revenues consolidated operating margin for the quarter increased to 31.2% from 29.9% in the prior year quarter. The main drivers included improved company-owned store operating margins which benefited us from lower food cost and food cost leverage and fixed cost leverage. This margin increased as a percentage of revenues from 23% to 25.6%. Our supply chain margin percentage increased from 10.5% to 10.9% primarily from a decrease in commodity prices. As a reminder, commodities are generally priced on a constant dollar mark-up to our franchisees. Therefore, lower commodity prices do not impact our supply chain dollar profit. They do, however, positively impact our supply chain margin as a percentage of revenues. The average cheese block price in the second quarter was $1.59 per pound versus $2.20 per pound in the same quarter last year, which lead to our overall market basket decreasing 8.9% as compared to the prior year quarter. Although, we expect cheese and chicken prices to average higher in the second half of the year than in the first half, we still expect the commodities we use will be down 4% to 6% in 2015 from 2014 levels. Currency exchange rates negatively impacted us this quarter by $4.5 million versus the prior year quarter due to the dollar strengthening against most currencies. Based on current projections we continue to estimate that foreign currency could have a $14 million to $20 million negative impact on pre-tax earnings in 2015. Again, for perspective, we estimate that 1% strengthening of the dollar against our basket of currencies as roughly $0.015 to $0.02 negative impact on our full year EPS. Now, I will cover our G&A expenses. G&A increased by $7.2 million in the second quarter versus the prior year quarter due to several factors. Our higher same-store sales led to increases in volume driven expenses such as variable performance based compensation, company-owned store advertising and franchisee incentives. Additionally, we made plan to increase ecommerce and technology support. We have mentioned before that we charge transaction fees to stores to recoup a portion of the G&A cost of supporting our digital ordering platform. I will note here that we recently increased our transaction fee from $0.17 per order to $0.21. Based on our current volumes, the $0.21 fee amounts to approximately $1.5 million to $2 million in revenue for four week period. We do not anticipate additional rate increases in the near-term. As we noted before, this year includes an extra week. We continue to project that our G&A will be in the range of $200 million to $275 million for this 53-week year. We estimate that the extra week will drive approximately $4 million of this expense. Keep in mind too, that our G&A expense for the year can vary up or down by among other things. Our performance versus our plan as that effects variable performance based compensation expense. Switching to income taxes, our reported effective tax rate was 37.3% for the quarter. We continued to expect that 37% to 38% will be our effective tax rate for the foreseeable future. Our second quarter net income was up $7.4 million, this 19.4% increase was primarily driven by higher domestic and international same-store sales, global store growth and supply chain volumes. Our improved results were partially offset by the negative impact to foreign currency exchange rates. Our second quarter diluted EPS was $0.81, there were no significant items affecting comparability during the quarter. The $0.81 is a $0.14 or 20.9% increase from the $0.67 EPS in the second quarter of last year. Here is how that $0.14 difference breaks down. Foreign currency exchange rates negatively impacted us by $0.05. Lower interest expense benefited us by $0.01, lower diluted share count primarily due to share repurchases benefited us by $0.01 and importantly our improved operating results benefited us by $0.17. Now turning to our use of cash; during the second quarter, we repurchased and retired approximately 638,000 shares at a cost of $68 million or an average price of $106.84 per share. We also returned more than $17 million to our shareholders in the form of a quarterly dividend. Before I conclude, I'd like to address a couple of questions we've been frequently asked about. First, regarding our investments in technology, we would like to mention that we are testing our customer loyalty program at one market and as many of you are aware, a portion of our existing debt is callable on October, we continue to monitor the debt markets and evaluate all options regarding our capital structure. Overall, our stronger momentum continued in the second quarter and we are very pleased with our results. Thank you for your time today and now I'll turn it over to Patrick.
Patrick Doyle: Thanks, Mike and good morning, everyone. I'll begin my commentary with a bit of an obvious statement disclaimer and here it goes, it was a fantastic quarter for Domino's. You don't have to look too far to find many areas we can point to all truly contributing to the fundamental strength of the business. Brand momentum that continues to reach new heights, sustain robust domestic same-store-sales; great global store growth that continued with our trailing 12 month's net store openings of now over 800; rock solid performance from international with two new market openings; unmatched technology innovation demonstrating some of the highest levels of creative forward thinking in all of retail and a business model providing strong unit economics and continued franchise profitability around the globe as well as outstanding returns to our shareholders. This global momentum helped us deliver nearly 21% adjusted EPS growth despite the ongoing headwinds of foreign exchange. We've now had 17 consecutive quarters of positive same-store-sales domestically and our outstanding streak of positive consecutive quarters in international has now reached to 86. So using another rather obvious statement, we're very, very pleased with our second quarter focusing on our thriving domestic business. I continue to be impressed and proud of the performance of our U.S. franchisees and corporate store operators. Strong operations, record 2014 franchise profitability as well as impressive franchisee action on the progress of store reimages have laid the foundation for terrific morale and momentum within our domestic system. Our 12.8% same-store sales comp is a reflection of just that, combined with a consistent brand message that continues to remind America that this new Domino's experience is much more than just pizza. The genuine approach of listening and responding to customers going back over five years to the launch of our new and inspired pizza has become a critical pizza of what Domino's stands for and is clearly a huge element of our brand strength. We have used customer feedbacks to remain disciplined and strategic on the new product front and will continue working on and rolling out permanent menu items when it makes sense for our customers and operators. We have applied customer feedback to our pizza theater design and are pleased to say that we plan to reimage an additional 1000 stores domestically this year bringing this welcoming layout to many more customers across the nation. And most recently customer interest was a factor in partnering with Apple to launch Domino's Tracker App for Apple Watch becoming the first U.S. pizza company to bring this order tracking capability to Apple Watch devices. We will continue listening and responding to our customers. And speaking of apps and devices, we can't highlight our fundamental strength and momentum without further discussing technology, an element that gives us the competitive advantage and contributes towards our gaining market share. While the world of digital could be quite a competitive one and the tech to table space we pioneered is ever evolving one thing is evident. We have not and we will not stop innovating. Domino's continues to capture the attention of America with a truly creative approach to unique innovative ordering platforms. Last quarter, I told you about ordering via Twitter, which along with our agency CP+B was recently honored with the Titanium Grand Prix award at Cannes Lions 2015 and now I'm excited to say that by using a pizza emoji you can now place your Domino's easy order via text message. So we continue to gain ground on our goal of giving customers the ability to order from us any time, any place. As we learn more about our digital customer I can't stress enough that the primary benefit of this platform is the customer experience. This certainly helps promote frequency. Once you try digital, it's hard to go back to anything else and that is ultimately a credit to our talented development team. Our line-up now includes the ability to create a personalized pizza profile and toward an easy order, the benefit of seeing our entire menu, voice ordering via Dom, our virtual ordering assistant, Domino's tracker and list goes on and on. Our focus remains on investing in this experience and preserving that customer frequency which is a much greater benefit for us than nominal ticket increases and labor cost reductions. Maintaining this focus is what has helped us maintain our lead within the space. On the international front, we simply continued to put up rock solid results and turns in a terrific second quarter. Same-store sales were very strong as was the performance of our master franchisees and operators across the globe. Recent standout markets included Australia, Canada, Brazil and the U.K. The results demonstrate continued global success as we have now reached 86 consecutive quarters of positive same-store sales growth in international a phenomenal streak. We were very pleased with 172 net store openings in the second quarter as well as new market openings in Georgia and Portugal. Here is the fun fact, Portugal's first ever order was a digital one, which serves as a good segue to note that we continue to share best digital practices with our master franchisee partners and learn from one another. Markets outside of U.S. are doing about 40% of sales from digital channels and while there are markets showing high levels of experience and excellence on the digital front, the opportunity exist to introduce and grow technology within many others. We look forward to helping our master franchisees established a digital presence or reached full digital capability within their market. I spoke earlier about our store reimage progress which goes well beyond the domestic market. We now have nearly 3000 pizza theatre stores completed outside of the U.S. and 16 international markets with all locations fully reimaged. The positive international story at Domino's is nothing new. But, I continue to be encouraged by the master franchisee leadership, unit economics, same-store sales and unit growth across the globe. The overall strength of the business within both developed and emerging markets continues to impress. To summarize, the second quarter our momentum and fundamental strength set the foundation for a strong first half of 2015. The Domino's brand according to a recent Millward Brown BrandZ Top 10-Year Risers study with the best performing restaurants and ranked number four overall, just behind the likes of Apple and Amazon. This accolade, we believe was result of our innovative forward thinking on all fronts, our honest, accountable communication and most importantly, our entrepreneurial culture that is anything, but complacent and faces the challenge of sustaining success head-on. Our brand strength in global momentum is driving results and I couldn't be more proud of our team across the globe, a team that is simply getting it done. Before I move on and open it up for questions, I would like to take a few minutes to discuss the other important announcement we made this morning, the transition of our Chief Financial Officer position. From Mike Lawton, who has announced his retirement as of the end of August to Jeff Lawrence, who is a seasoned Domino's leader and highly deserving this promotion. As I stated in our release I simply can't say enough great things about either of these guys. Mike has been a colleague and true friend for many years since I recruited him from our former company Gerber Products. We've had so much to thank him for from running our international division for over six years to the times we accounted on him to pin shift and run both IT and supply chain when we needed him most. His leadership and measured intelligent approach to any broad business issue have been a huge contributing factor to this company's success. His shoes will be tough to fill, but I am confident there is a person equipped to do so and it's Jeff. Jeff is currently our treasurer and has been with Domino's for 15 years in finance and leadership roles on both our U.S. and international fronts. He has been an integral player in past debt refinancings and our initial public offering. Many of you in the investment community have already come to know him and those who haven't certainly will soon. And my sincere congratulations go to both of you Mike and Jeff. And now I'll open it up for questions.
Operator: [Operator Instructions] And our first question comes from the line of Chris O'Cull with KeyBanc.
Q - Chris O: Thanks. Good morning, guys.
Cull: Thanks. Good morning, guys.
Patrick Doyle: Good morning, Chris.
Q - Chris O: Patrick there has been several ordering and delivery solutions that have been started in many cities the past year, are you seeing any solution out there that has affected any of your markets?
Cull: Patrick there has been several ordering and delivery solutions that have been started in many cities the past year, are you seeing any solution out there that has affected any of your markets?
Patrick Doyle: No.
Q - Chris O: Okay. That's great. And then it appears the percentage of the orders though from the digital platform isn't increasing as fast as they had in the past, is that true? It seems like its stuck just under 50% and can you talk about how you are improving that conversion rate?
Cull: Okay. That's great. And then it appears the percentage of the orders though from the digital platform isn't increasing as fast as they had in the past, is that true? It seems like its stuck just under 50% and can you talk about how you are improving that conversion rate?
Patrick Doyle: Yes. Well, all of the things that we talked about what are ultimately driving the conversion rates and really what we've seen in the past is in the fall you see really an increase in digital ordering percentages we've seen that every year, we saw it again this year kind of from the beginning of the fourth quarter into the beginning of first quarter and then it tends to frankly flatten out over the course of the next six or eight months until people start going back in doors again and students go back to university and people kind of seeing the change their ordering habits around that time of year. So you are right in the observation that it hasn't gone up in the last quarter or two but that's actually consistent with what we've seen every year.
Q - Chris O: Okay. Thank you.
Cull: Okay. Thank you.
Operator: Your next question comes from the line of Brian Bittner with Oppenheimer.
Mike Tamas: Hi, great, thanks. This is Mike Tamas on for Brian. You mentioned that balance sheet briefly and just wanted to ask you a question about the leverage it seem to hit the lower end of your target 3% to 6% range. So can you talk about any possibility you are taking on additional leverage at some point and then how would you envision using that additional capital whether would be another special dividend or significant more buybacks? Thanks.
Mike Lawton: As I said in the script we've got the opportunity to refinance one-third of our debt in October and it's fairly clear that the debt markets are in very, very good shape right now so it's something that we'll be evaluating. That's really all I can say at this point.
Mike Tamas: Okay. Thank you.
Operator: Your next question comes from the line of Karen Holthouse with Goldman Sachs.
Karen Holthouse: Hi, congratulations on another fantastic quarter. Looking at the global unit growth, the global unit growth year-over-year we continue to push a little bit past the high end of the guidance range from January and how should we think about that as something, is there a seasonality piece to that or the particular market driving that strength thinking just what that pace could look like over the balance of the year?
Patrick Doyle: Yes. I think, and Karen you're clearly right, I mean from a straight numbers perspective we're a little bit above that range. I think what drives it ultimately are unit economics and we're having a terrific year both domestically and internationally and as unit economics continue to improve, capital continues to free up the built stores, opportunities for building stores with higher volumes at – kind of the new sales and profitability levels continue to open up. And that's part of [why strength] [ph] that you are seeing in not only on the international side, but on the domestic side if you look at kind of the trialing 12-month net store growth. You are continuing to see momentum build for new stores domestically and frankly you are continuing to see store closures really get down to a very, very low number in the U.S. So really the way to think about it is, it's a reflection of unit economics. And my view that I think I have expressed before is stores get built because they should be built. And because there is an expectation that they are going to generate a great return and fundamental analysis of any heavily franchised restaurant company has to really start by looking at the unit economics for the franchisees and if those are strong and franchisees are prospering then ultimately the franchisor is going to prosper and frankly the inverse is true. So our franchisees are doing really well that is always our first and primary focus and because they are doing well, our store growth continues to accelerate.
Karen Holthouse: And as I guess a quick follow-up to that the dollar thing that often comes up and talking about unit growth potential and I think one of the reasons that guidance at some point switched from a number of units to a percentage of units is just human capital is sort of throttle on how many units can be built effectively. How much insight do you have to make sure that unit economics or how long on enticing franchisees to maybe get a little bit over the [SKUs] [ph] in terms of where the number of managers and GMs and Area Managers and such really is in the system?
Patrick Doyle: Yes. I think the rate and pace that you are seeing on growth overall in our system is really not constrained right now largely by that. There are a few markets where we have seen that in the past. I think there was a period of time in India, where we were doing kind of north of 25% store growth and that gets tough and the math is pretty simple. When you are north of 25% store growth that means not only does – do every four stores need to generate a new general manager but you also have to replace any turnover in those stores, which pretty commonly around the world is kind of in the 25% rate. So it kind of means, on average if you are growing that fast and you are replacing turnover, you might need a new manager out of every two stores over the course of the year and that seems to be a point at which it starts to be a bit of a barrier. Now you bring your resources and training and recruiting and you do everything you can to kind of push through that. But, so it's really more kind of a market-by-market sort of constraint as opposed to an overall global. We [stay] [ph] clearly in the U.S. We are not even anywhere close to a pace that where we would feel that. And there have been a couple of international markets in the past where I think that has been a bit more constraining and you also see a particularly early in markets just when the absolute numbers of stores, you got 10 stores in a market and you want to grow to 20 over the course of the year that's tough you are at 100 and you want to add 10 that's much easier.
Karen Holthouse: Great. Thank you.
Operator: Your next question comes from the line of John Glass with Morgan Stanley.
John Glass: Thanks. Good morning. And congratulations Mike, well played, and Jeff look forward to working with you more. So on the domestic same-store sales you mentioned the traffic the ticket was a little bit of a contributor, is that more than last quarter, I mean, how do you dimensionalize that versus last quarter – with last several quarters, is it a bigger, lesser, just seen this [trend] [ph] before?
Mike Lawton: Not a lot of difference. There is a little bit of ticket that's coming out of what you call just inflationary pricing and a little bit just because the promotion this year is a little bit different than what was running last year. But, it's not – again, this is primarily an order comp growth story at this stage.
John Glass: That's helpful. And then there was a discussion early in the call around mobile ordering as a percentage maybe online ordering in total. Can you give us other stats you would share with us for this quarter whereas in the U.S. for example both of those as a percentage of total orders?
Patrick Doyle: Yes. I mean roughly mobile and online are about equal.
John Glass: And what do they add up to?
Patrick Doyle: Well, you're looking at kind of 25 and 25-ish kind of right in that range, mobile continues to grow a little faster than online but both are growing.
John Glass: That's very helpful. And then just finally, you mentioned that there was a customer loyalty program, what is that look like in pizza and how do you -- [some has been] [ph] hesitant to do that because it looked already very successful business why would you entice more people to order more often, so how do you think about when that gets fully rolled out, how it looks, is there any kind of color comments where you're willing to put on out at this point?
Patrick Doyle: Yes. So the first color commentary is, we are always looking for more customers to order more often. We're happy to do that and that's pretty much our core job everyday as we get up. And the loyalty program and we're testing it, its one market we're going to see how it works and then make a decision, its certainly something that's, that you're seeing success I think from Starbucks, Papa John's has certainly put a lot of focus on it in the past, but its something we're testing and we'll see.
John Glass: Okay. Great. Thank you.
Operator: And your next question comes from the line of Jeffrey Bernstein with Barclays.
Jeffrey Bernstein: Thank you very much. And I got to congrats two, both Mike and Jeff. Two questions, just one you talk about the unit growth opportunity and it seems like it's being well-captured internationally. So looking on the domestic side, I think in the past you've talked about room for another 1000 or so just wondering whether there is any interest in perhaps company operated growth now you're sitting with under 400, but may be to take advantage of the opportunity while you're in such a position of strength may be getting best real estate or what not and obviously one day you could sell the franchisees, but didn't know if there was any consideration of doing anything like that or any further incentives to franchisees to even accelerate the growth further in the U.S.?
Patrick Doyle: Yes. So the big incentive for the franchisees is the profitability on the stores, the trailing 12-month profitability at the franchise level is at record levels. And that's what's driving more and more interest and it's why you're seeing kind of the acceleration. As to corporate stores you'll certainly, I'm sure if noted that's margins on our corporate stores continue to improve, profitability continues to improve, I am very pleased with the progress that we're making there and it's something that we look at. I mean growth for our corporate stores I think overall the range that we're in is good in terms of counts. We need to be doing our fair share of growth, but what you see from us is that most stores that we will open for our corporate stores are going to be in existing markets. So it's really about filling in opportunities in markets that we're in. We opened one recently in New York City where all of our corporate stores in New York are in Bronx, Queens and Brooklyn and we continue to look at opportunities within those markets to open it. But, I don't think you're going to see anything dramatic and overall we feel pretty good about the size of our corporate store business, but it's certainly something that's a tool out there if we work getting kind of the growth that we wanted otherwise.
Jeffrey Bernstein: Got it. And then just my other question was on the G&A spend, I think Mike you confirmed the – there was $270 million to $275 million this year, just wondering if there is anything that would hold you back at all on spending even above that I mean, I am assuming there is opportunity for incremental spend when you have such strong results, I know you mentioned ecommerce and technology, but is there a priority list to investments or is there any constrain that something that's on your list that you are holding back on doing it for whatever reason, are you pretty much when you are generating this much cash flow investing as best as you can come with the ideas?
MikeLawton: As we have said on the prior calls, I mean most of the incremental spend that we got a G&A that is that we regard as kind of investment to grow the business either comes out of the ecommerce area or comes out of international. And we have not been shy about adding on an ecommerce area because we think it's been the right place to put money. If we come with more good projects, we will continue to look at that and that can be in the form of either capital or for the G&A. But, we have added that's been a big contributor to the growth and we will just continue to look at whatever make sense in that area. We are not going to be shy. There is not a constraint. In the international area, we have added many people because we have been growing so rapidly. Again, if it makes sense, we will continue to do that. So the answer is no, there is not a constraint. We have been growing those areas because we think it's good for the business. The areas that you typically think about G&A, the back office or legal or we are tight on those. But, we will do the right thing for the business on growing the top line where we can.
Jeffrey Bernstein: Okay. Thank you.
Operator: And our next question comes from the line of Michael Halen with Bloomberg Intelligence.
Michael Halen: Thanks for taking my question. And congratulations Mike, you have served Domino's shareholders very well over the years. Can you please give us an update on pan pizza, what percentage of your pizzas currently sold are pan and can you get those to the 20% industry average if you are not there already?
Patrick Doyle: Yes. So we haven't released the exact percentage on pan and aren't going to do that. We feel very good about the product and how it's performed. We haven't promoted it recently and so when you are promoting it you are clearly going to – that's when you are going to drive kind of the growth on mix. But, we feel great. I mean that this fresh dough pan product as I think has been a real differentiator for us. And we think it's been part of what's driven our absolute growth and our relative growth over the last couple of years.
Michael Halen: Great. Thanks a lot.
Operator: Your next question comes from the line of Peter Saleh with TAG.
Peter Saleh: Great. Thank you. And congrats on the quarter guys. I wanted to ask about capacity constraints within the actual restaurants. I mean since your sales have been phenomenal as you guys have indicated, are you having any issues on the capacity side in terms of getting product out. Are you needed to upgrade any of the equipment and where do you stand on finding more drivers, I think in the past you have discussed how there has been a little bit of a shortage on the driver side.
Mike Lawton: So there certainly are some constraints in some stores. I would tell you in terms of overall results you are certainly not feeling it. And I will tell you that it is the highest quality problem that we can possibly have as a company and as a system. But it is – what is leading to accelerating store growth. It is leading to our franchisees and our corporate stores putting more capital into the stores as they increase oven capacity or make-line capacity. And so it is certainly something that we look at. And it can be a constraint certainly in some stores, but it's a minority of stores. The other thing is, as we are very focused on making sure that we are staffed that we are going to continue to great – to give great service to our customers. What I would tell you is that the net of all of that is our service levels, our service times, all of the metrics that we look at in our stores have never been better. So we are executing at the highest level that we have ever executed at as a company and as a system. So we are certainly working through any of those as we hit them. And the happiest conversation that you will ever have with the franchisee is to point out to them that their sales are so high and their profits are so good that they need to add a third duct to their oven in their store or it's time to open another new store to handle all the volume that's going into one. So the profits are there, the cash flow is there for the franchisees to invest to do it. And they are dealing with it incredibly well as we hit any of those constraints.
Peter Saleh: Great. And then just, can you just comment a little bit on the pizza theatre, it sounds like you guys are really accelerated at least in the first half of the year, the remodels and the pizza theatre especially internationally, can you talk about what you are seeing in some of the markets that actually have that are fully complete on the pizza theatre what kind of returns are you seeing?
MikeLawton: Yes. The story continues to be kind of the same which is individual stores as they get done on average, we will see a couple of point bump, stores that were under performing, we actually see a bigger bump, stores that were maybe already in better place less, but our average is kind of have been 1% or 2% on individual stores. But, what we have always said is, we are heading into this as we think it's going to be something that allows us to continue to drive the performance that we have had. It's going to lift overall momentum in the system as people see new and better looking stores. It elevates the performance of the whole system and I think you have seen that play out. I mean it is clearly part of what is contributed. So as whole markets get done or the majority of whole markets get done, I think we see a bigger effect than what it is individual stores that I think we are seeing it also just in the overall strength of the business both domestically and internationally.
Peter Saleh: Thank you very much and congrats again.
Mike Lawton: Thank you.
Operator: And your next question comes from the line of Alex Slagle with Jefferies.
Alex Slagle: Thanks. Congrats to all of you. I'm wondering if you could provide some more perspective on what you are seeing in terms of competitive pressure in the form of more aggressive price points from peers given one major competitor still struggling out there and a number of smaller operators who can finally compete more effectively on price with the drop in cheese cost. Are you seeing any change in that regard?
MikeLawton: We really are. I mean, it's really pretty consistent from a pricing competitive standpoint. I think the category has continued to be kind of consistent with where it was in terms of growth. We may see a little bit of order growth overall in the category and maybe a couple of points on ticket. So you are seeing category overall grow maybe 2% or 3% that's consistent with where it's been previously. And I think the broad story continues to be the same even though certainly one of the competitors has not been performing quite as well. I'm relatively sure with comments that they have made that – they are driving change over their and they are going to get back on track. The longer term story continues to be the same which is the larger players are taking shares from the small players and that's from efficiencies, that's from advertising and know-how I think within our system on how to run stores well. But, clearly the new part of it is digital. And we are continuing to see share shift from the smaller players to the larger players. And we've been a big beneficiary of that.
Alex Slagle: Thanks. And then a follow-up on labor. I know labor cost in the company store is up again, but overtime bonuses versus last year which make sense but gets me thinking more about overall wage inflation pressures and wonder to what extent those have been helped by your franchisees in recent months or anything, any comments from them or perspective you have would be helpful?
Patrick Doyle: We are generating record profit out of our stores. And so our ability to run our stores well and efficiently I think is helping us to not only manage those increases, but to prosper despite those increases. And so I think the bottom line is frankly the bottom line which is profits are better than they have ever been. So whatever pressures are out there on cost, we've been able to more than handle and the profit levels are at terrific levels right now. So it's certainly something that we watch and we keep an eye on and there is certainly indication that there is more activity coming on that front. I think that puts more pressure on weaker players and people who aren't as efficient and may be don't have kind of the same structure that we have to kind of drive success in what has been a little bit tougher labor environment and will probably continue to be.
Alex Slagle: Great. Thank you very much.
Operator: Your next question comes from the line of Mark Smith with Feltl.
Mark Smith: Good morning, guys. I just wanted to see if you can give us any more insight on digital mix just on some of the new things that you've tested text, Twitter, any insight on incremental growth from those platforms?
Patrick Doyle: Yes. I guess what I'd say is, first, we're not going to give out the specifics around anything. We don't want to make it easier for our competition to kind of figure out how to prioritize investments to catch up to what we're doing. But what I would say is if you look at the totality of the efforts we're making and how it is positioning our brands in the minds of consumers and the ease of access that is giving to them it is clearly a big part of what is driving our same-store-sales growth. So I'm not going to go into the specifics on it because our competition has to try to prioritize and I don't want to make that roadmap any easier for them. But, as we have said many times in the past as we have expanded platforms, we've seen incrementality from it, we clearly own kind of the digital space in the minds of consumers as being the leaders in that area and the real innovators and so its not just about the actual access its also about kind of the brand presence in the mind of the consumers and how they think about us as being a – an innovative brand that is pioneering new things and giving them new ways to access the brand. So that's really the answer, its all working in totality.
Mark Smith: Okay. Great. Thank you.
Operator: Your next question comes from the line of John Ivankoe with JPMorgan.
John Ivankoe: Mike I was hoping you could revisit the comments that you made about the take up in online ordering fees for franchisees which I think went from $0.17 an order to $0.21 an order. Could you remind you what that the implementation the timing of that was and if future online ordering pizza that's solely a Domino's your discretion as suppose to the franchisees discretion. I'm sure they have input but at the end of the day is the decision is yours and with that associated revenue that you discussed is there any incremental cost that should be assumed that that's pure profit flow through?
Mike Lawton: As we've said before our intent in the United States has been to try to provide this service at a very good cost to our franchisees. We continue to go way beyond online ordering which is what was originally envisioned and now we have many, many different ways of accessing the company at ordering through ecommerce and that's led to more cost than the $0.17 we cover. So we're up to, we increased it to $0.21 that was at our discretion, as I also said in my commentary on the near term we certainly have no intention of going above that number. We have, we are ones – we as a company have expanded the money to create those systems we're recovering it over time and we'll continue to evaluate what the appropriate fee structure is, but it certainly is not something, it is intended – it doesn't have an additional incremental cost just because we raised it today. I mean we have done a lot of things over the last year to – and last few years to continue to expand our ecommerce platforms and that's just part of recovering that cost.
John Ivankoe: No question about that. So the implementation so I guess – it was announced today, is it more or less implemented today than as well?
Mike Lawton: It basically – it was included in the second quarter revenue.
John Ivankoe: Okay. It was in the full second quarter.
Mike Lawton: It was put into place in March.
John Ivankoe: Okay. All right. Thank you very much.
Operator: Our final question comes from the line of Joseph Buckley with Bank of America.
Joseph Buckley: Hi. Thank you. Mike congratulations on your retirement. I wish you the best. I had a couple of questions. The follow up on that question, Mike could you repeat what you said in your script comments. I think you said it's like $1.5 million to $2 million, but I'm not sure of the time period, was that –
Mike Lawton: So roughly, I mean depending upon the volume of each quarter, roughly, each four week period has generated $1.5 million to $2 million of fees at that $0.21. I've not expressed it in terms of months because we obviously have four week periods. So but you could say at that way as well. It's basically $1.5 million to $2 million for every four week period. That's not the incremental. That's the total fees we are collecting.
Joseph Buckley: Okay. We could do the math to figure out what the incremental is of the $0.17 charge presumably. Okay and then just a couple of other questions, just on the carry out business, how did that – do this quarter – that's still growing pretty rapidly for you?
MikeLawton: Yes. It is. And one of the things we are seeing is, these newly reimaged stores we see a bigger bump in carry out that in delivery as you would frankly expect because customers are the ones the are seeing the new image. And so from a relative standpoint we see that reimaging working a little better on the carry outside than on the delivery side.
Joseph Buckley: Okay. And then just a follow-up question also on the labor, no question your margins are fantastic, but curious if you could share with us what you are seeing in wage rate inflation and if the average turnover has gone up that was a pretty big bump in waiver as percent of sales in a great comp quarter.
MikeLawton: We are certainly seeing some of it. And it's not just from minimum wage, I think the really healthy increases when you are simply seeing demand for labor and employment going up in markets and their markets where it's certainly getting tougher and that's great and that's healthy. And so I think – it is hopefully something that we are going to continue to see because that's going to be a sign that the economy is continuing to do well. I think it is very manageable. It has been manageable and our franchisees are handling it well. They make their own decisions on how they are going to approach it. But, and I would add to that the comments I was making about service levels and performance in the stores, we are doing better than we have ever done. And so we are executing at a very high level and managing nicely within a situation where there is certainly is a little bit of upward pressure and I take that frankly as a good thing. I would rather have a healthy economy and high demand for pizza and be able to pay people more and need to pay people more.
Joseph Buckley: Okay. And then maybe one last one, Patrick just a big picture question on kind of defining the brand as more than just pizza. Can you talk a little bit about kind of the game plan going forward why you are making that move and what we should expect in longer term as you execute against that?
Patrick Doyle: Yes. Look, where we are going to continue to be a pizza company first and foremost that is going to continue to be the overwhelming majority of our sales. I would suspect for my life time and certainly my life time is as CEO here. That's what we are and what we are known for and we will continue to be known for. I think there are a number of reasons that the change is out there. One is we do sell other things and we want people to know that. We want them to know that that there are great sandwiches and pasta and chicken on our menu and Coca Cola products. And we want them to think about us for those things as well. And we also want those who might be a veto vote on a bigger order to know that there is going to be an option for those within a group who might not want pizza within that order. But, I think it also goes to our confidence about our brand and where we are and the example that I always use with people is Nike. If you go back 25, 30 years, you had the shoes and then Nike sportswear behind it way back. And at some point they pretty early on they dropped the sportswear and increasingly you just see the shoes. And that's a function of the – strength of the brand and the confidence of the brand. People already know what Domino's does in the U.S. and so we think we are in a position where we can do that we can be more confident as a brand. And the last really tactical, practical thing is sometimes you have got constraints on the size and signs on the front of a store and a bigger Domino's and just Domino's is relatively better signage than a smaller Domino's pizza. And that's a really tactical reason, but it plays into it as well.
Joseph Buckley: Thanks for that answer. I appreciate the tactical and those strategic answers. Thank you.
Patrick Doyle: All right. Thanks Joe.
Operator: And we have no further questions in queue at this time. I would like to turn the conference back over to our presenters for closing remarks.
Patrick Doyle: All right. Thanks everybody. I look forward to talking to you again as we discuss third quarter results on October 8.